Operator: Greetings and welcome to the American Homes 4 Rent Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I'd like to turn the call over to Nick Fromm, Senior Manager, Investor Relations for American Homes 4 Rent. Please go ahead, sir.
Nick Fromm: Good morning. Thank you for joining us for our second quarter 2022 earnings conference call. With me today are David Singelyn, Chief Executive Officer; Bryan Smith, Chief Operating Officer; and Chris Lau, Chief Financial Officer. Please be advised that this call may include forward-looking statements. All statements other than statements of historical fact included in this conference call are forward-looking statements that are subject to a number of risks and uncertainties that could cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in our press releases and in our filings with the SEC. All forward-looking statements speak only as of today, August 5th, 2022. We assume no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. A reconciliation of GAAP to non-GAAP financial measures is included in our earnings press release and supplemental information package. As a note, our operating and financial results, including GAAP and non-GAAP measures, are fully detailed in our earnings release and supplemental information package. You can find these documents as well as SEC reports and the audio webcast replay of this conference call on our website at www.americanhomes4rent.com. With that, I will turn the call over to our CEO, David Singelyn. 
David Singelyn: Thank you, Nick. Good morning and thank you for joining us today. This quarter, we continued delivering strong, consistent results with $0.38 core FFO per share, representing 16% year-over-year growth. This once again demonstrates the durable and consistent earnings power of the AMH platform. Before Bryan and Chris dive into the quarter's results, I want to walk through three areas. First, a macro view of the housing market. Second, our growth programs and how they differentiate American Homes 4 Rent from other housing companies. And finally, how are we doing as a socially responsible company. Starting with some thoughts on the macro housing environment. First, it is estimated that our country is anywhere from 3 million to 5 million housing units short, no small number. And this is not likely to get any better as the latest numbers from the U.S. Census Bureau marked the fourth consecutive monthly decline in single-family starts. Second, while single-family rentals were deemed the housing option of last resort 15 years ago, today, they are desired as a premium housing option of choice. American Homes 4 Rent has been at the forefront of changing the narrative by providing high-quality homes and new communities with best-in-class amenities. Additionally, our professionally managed platform and services have elevated the resident experience. In the last year alone, our residents have gone on record in media outlets like CNBC, USA Today and the Orlando Business Journal to voice their support of our rental homes, which gives them access to a simplified single-family lifestyle. Third, not only a single-family rental living more convenient than homeownership today, it is also more affordable. And finally, the American Homes 4 Rent portfolio is located where Americans want to live. Our assets are strategically positioned in high quality of life markets benefiting from migration patterns fueled by long-term demographic shifts and changing lifestyle preferences. All-in, the current housing environment supports sustained single-family rental demand for the foreseeable future and American Homes 4 Rent continues to be well-positioned. Now turning to our growth programs. Our in-house development program is the backbone of our growth strategy. And now more than ever, is demonstrating the benefit we envisioned when we launched the program over five years ago. We continue to add high-quality assets to our operating platform while at the same time retaining full control of the development process. This results in a consistent and predictable growth channel that we can rely on throughout all economic cycles. Further, our internal development program differentiates us in two ways when compared against other housing business models. First, we are the only public single-family rental owner and operator with a fully integrated development program. This means we do not depend exclusively on the MLS markets or third-party homebuilders to drive external growth. Second, we build homes for our own portfolio. Therefore, we are not subject to for-sale market risk like traditional homebuilders. And as a reminder on the economics, our internal development program delivers premium yields over our open market and national builder acquisition channels and creates shareholder value as we do not incur builder profits, which enables us to add homes at a significant discount to market value. Now, turning to our investment strategy more broadly. Interest rates have risen, while home prices have yet to react in a meaningful way. In addition, these are uncertain times in the capital markets. As such, we have temporarily scaled back one-off MLS transactions to allow the market time to recalibrate and stabilize. This will preserve dry eye powder for future investment. And when better opportunities become available, we'll be ready to act. This revision reflects our disciplined investment approach and highlights the competitive advantage of our three-pronged growth strategy. Lastly, I would like to touch on a few ways American Homes 4 Rent is focused on social responsibility. Through our differentiated development program and strategic investments, we are doing our part to help solve the critical housing shortage in America. With AMH Development, we are not only adding high-quality homes to the nation's housing stock, we are providing homes in high-demand, safe communities with good schools where families want to live. Additionally, in the face of an ownership affordability crisis, we are providing an attractive rental solution for households across the country. Separately, we are also investing in partnerships with innovators at the intersection of technology and sustainability. Through our recent PropTech collaborations, we are funding initiatives to reduce carbon emissions in the industry and enhance the resident experience by developing new amenities, both of which will unlock the next era of housing. In closing, I am excited about these initiatives and optimistic about our future. The single-family rental demand tailwinds, combined with our differentiated AMH growth strategy, puts us in a great long-term position to remain the leader in residential housing. Now, Bryan will provide an update on our operations. Bryan? 
Bryan Smith: Thank you, Dave. Our industry has evolved dramatically over the past decade. During that time, American Homes 4 Rent has transformed single-family rentals by offering a premium housing option with an unmatched level of convenience, service and quality. And given all the points Dave mentioned, the demand for our homes continues to be outstanding. In the second quarter, we had over 285,000 inbound leasing inquiries. Nearly 50% of these were digital, highlighting the importance of our strong technology systems. At the house level, showings per rent-ready property are nearly double pre-pandemic levels. These robust metrics drove strong quarterly results that modestly outperformed our expectations. Same-home average occupied days finished at 97.4%, and rental rate growth showed continued strength with new renewal and blended spreads of 14.2%, 7.4%, and 9.3%, respectively. This led to same-home core revenue growth of 9.4% for the quarter. Core operating expenses were in line with our original projections and our expectation for expense growth rates to moderate for the balance of 2022 remains unchanged. All of this resulted in 10.2% same-home core NOI growth, representing consecutive quarters of double-digit growth. Looking forward to the third quarter, July demand remained robust, driving same-home average occupied days of 97.2%. New and renewal spreads were 13.2% and 8.1%, respectively, resulting in blended rate growth of 9.7% for the month. As a reminder, our original guidance contemplated elevated move-outs around the middle of the year and included the workout of COVID impacted homes. July's results were directionally as expected, but we are seeing less seasonality than we originally anticipated. Therefore, we are increasing the midpoint of our same-home core revenues guidance by 25 basis points to 8.5%. This translates into an increase in our same-home core NOI guidance by 50 basis points to 10% at the midpoint. As I close, I would like to thank all our team members for their consistent execution. Our second quarter results and the outstanding demand for our homes sets us up for a strong finish to 2022. I will now turn the call over to Chris. 
Chris Lau: Thanks Bryan and good morning everyone. I'll cover three areas in my comments today. First, a brief review of our quarterly results. Second, an update on our balance sheet and strategically revised capital plan for this year. And third, I'll close with a few comments around our updated 2022 guidance. Starting off with our operating results, once again, the AMH platform delivered another quarter of strong and consistent performance with the net income attributable to common shareholders of $56.6 million or $0.16 per diluted share. On an FFO share and unit basis, we generated $0.38 of core FFO, representing 16% year-over-year growth and $0.34 of adjusted FFO, representing 16.8% year-over-year growth. Driving our results was another quarter of strong operational execution, generating 10.2% same-home core NOI growth as well as another quarter of consistent performance from our three-pronged external growth strategy. During the quarter, we added a total of 928 homes to our wholly-owned portfolio and 214 homes to our joint venture portfolios, and some of which included 529 homes delivered from our AMH Development program. And on the disposition side, we sold 197 properties during the quarter, generating total net proceeds of approximately $61 million. Finally, during the quarter, we grew our owned and optioned land pipeline to over 15,000 lots including lots that have been optioned through our various land banking relationships, which strategically enable us to continue growing our pipeline while also prudently managing land risk. Additionally, at the end of the quarter, we had approximately 7,000 additional lots undergoing due diligence in escrow. Next, I'd like to share a few updates around our balance sheet and revised 2022 capital plan. For starters, I'm very happy to share that we were recently upgraded by S&P to BBB with a stable outlook, is a great testament to our best-in-class balance sheet and continually improving credit profile, which is especially important during these uncertain times in the capital markets. In terms of other balance sheet updates, at the end of the quarter, our net debt, including preferred shares to adjusted EBITDA was 6.2 times, our $1.25 billion revolving credit facility was fully undrawn, and we had approximately $490 million of available forward equity shares that remain outstanding from our January equity offering. Additionally, as we discussed on our last quarterly call, during the quarter, we closed our $900 million dual-tranche unsecured notes offering as well as the redemption of our $155 million, 5.875% Series F perpetual preferred shares. Now, turning to our capital plan. For the remainder of 2022, I'd like to share two updates with you. First, as Dave mentioned in his prepared remarks, we recently began moderating our traditional channel acquisition activity and now expect to acquire between 1,500 and 1,900 total properties during full year 2022. This represents an estimated total AMH capital investment of approximately $700 million at the midpoint. And for context, represents a reduction of about 500 properties or $200 million from our previous full year expectations. And second, given recent market changes to our new issued cost of capital, we've also made the decision to not redeem our $115 million, 5.875% Series G perpetual preferred shares at this time. As a reminder, our redemption option on this series of preferred shares has no expiration date. In total, these capital plan modifications have reduced our 2022 AMH capital needs to approximately $1.6 billion. Relative to our previous capital plan, which was already externally funded, this now strategically creates between $300 million and $400 million of dry powder capital capacity. As Dave talked about, this will enable us to be highly opportunistic as we evaluate all forms of potentially emerging growth opportunities during this changing economic environment. Finally, I'd like to provide a quick update on our 2022 guidance, which was modestly revised in yesterday's earnings press release. Starting with the same-home portfolio. As Bryan discussed, we continue to experience robust levels of demand and now expect full year leasing performance to be slightly ahead of our prior expectations. With that in mind, we've increased the midpoint of our full year core revenue expectations by 25 basis points to 8.5%. Coupled with our unchanged core property operating expense outlook, we've increased the midpoint of our full year core NOI growth expectations by 50 basis points to 10%. For context, the revisions to our same-home portfolio outlook represent approximately $0.01 of full year core FFO benefit. However, we expect the near-term impact of our strategically reduced 2022 capital plan to have a similar core FFO impact in the opposite direction. With that in mind, our 2022 core FFO expectations have remained unchanged at $1.56 per share, which as a reminder, continues to represent SFR industry-leading growth of 14.7%. And before we open the call to your questions, I wanted to quickly reiterate our bullishness as we head into the second half of 2022. Fundamentally imbalanced single-family supply and demand remains a tailwind at our back. Our internal development program continues to differentiate us with a pipeline of consistent and predictable external growth, and our balance sheet is incredibly well-positioned to take advantage of potentially new emerging growth opportunities moving forward. And with that, we'll open the call to your questions. Operator? 
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] First question comes from the line of Nicholas Joseph with Citi. Please proceed with your question.
Nicholas Joseph: Thanks. I appreciate the comments on the updated capital plan. So, as you think about the $300 million to $400 million, I think you talked about being highly opportunistic and evaluating all forms of potentially emerging growth opportunities. Can you elaborate on that? And is there anything that you're considering outside of acquisitions or land purchases?
David Singelyn: Good morning Nick, it's Dave. Yes, the first thing I just want to mention is having three different acquisition channels allows us to be flexible in times like this, these uncertain times. So, we still have a very strong growth channel going today in our development program delivering high-quality assets. And the yields are getting better and better as we see the input costs coming down in our construction. With respect to other opportunities, as you know, the MLS markets and the national homebuilders, the inventories are growing. We're starting to see some price discovery happening. But we're still early in that process. So, I'm pretty confident we will see the opportunity to get back into both of those acquisition channels later this year when the yields that those opportunities offer match up well with our cost of capital. With respect to other acquisition channels, it is a very interesting time. We are receiving many inbound telephone calls that we were not receiving previously, whether it's from owners of small portfolios or even national homebuilders with excess inventory. Where we are, though, in those -- in that process is we still have a gap in our bid to ask expectations between buyer and seller. So, I see all of that coming together. One of the things that's interesting about this industry, I just want to rewind a little bit on history here. In 2011 and 2012, as we were in difficult economic times as a little bit of uncertain times and maybe even called a housing recession back, that's when we built our company has when we saw tremendous opportunities. I expect the same is going to occur. Going forward, I think we need to be patient. We need to be strategic. We need to be disciplined. And we're going to come out some time next year with tremendous opportunities going forward. 
Michael Bilerman: Hey David, it's Michael Bilerman. So, when you're talking about emerging growth opportunities, it sounds like it's much more the sources of buying homes rather than some extension of your business into related residential things or maybe a larger services angle, it really is how to get access to a variety of channels and homes. Is that fair? Or were you trying to put emerging growth opportunities or something else? 
David Singelyn: No, I think that's -- Michael, that's the primary opportunity. I would never foreclose out other opportunities. But today, I believe that to be the primary opportunity, and I believe we're going to see some very, very attractive opportunities as we get through the price discovery phase of resetting and stabilizing the marketplace. 
Operator: Thank you. Our next question comes from the line of Brad Heffern with RBC Capital Markets. Please proceed with your question.
Brad Heffern: Hey everyone. Thanks. So, can you talk about on the acquisitions, are you entirely out of the market on MLS and the homebuilder program right now? Or can you -- if not, can you talk about the criteria for homes that are still meeting the hurdle? Is that just a higher cap rate target or being more selective on markets or something else?
David Singelyn: Yes. Thanks Brad. We're not 100% out. We're still acquiring, but it has had a very significant or very reduced level, probably more than 80% reduction from what we were seeing earlier this year. It is based on what the attractive opportunities are when you're underwriting many homes, and we're starting to see a growing list of opportunities on the MLS. The MLS has many more homes today available, the times that they're sitting there is much greater. We're starting to see opportunities. I would say we're sharp shooting right now. We are seeing some declines on average in the MLS if you look in like markets like mainly on the West, maybe today, Seattle is down about 6%, Denver and Portland, probably about 2%, Austin maybe 3%. But one-off homes here and there, we are finding opportunities. We are obviously buying at higher yields than we were. But the opportunity set today is still very, very limited compared to what it was first quarter of this year. And what we closed in the second quarter, a good majority of that is stuff that we put under contract late in the first quarter. 
Chris Lau: And Brad, it's Chris here. Just to frame that with a few capital dollars for you in terms of what that means on the year. As Dave mentioned, we're still buying. We're being very precise and selective and sharp shooting opportunities. Year-to-date through our acquisition channels, we've deployed, call it, rounded about $550 million of capital, assuming we stay at this pace for the balance of the year and if nothing changes, expectations is that we'll deploy about $700 million of total capital through our acquisition channels, which means, call it, remaining about $150 million of capital deployed through acquisition channels in the back half of the year. 
Brad Heffern: Okay. I appreciate that color. And then is the slowdown extending to the land side at all? And can you talk about what you've seen in terms of changes in land pricing? 
David Singelyn: Yes, it's -- it has extended to the land side. Again, I think it will follow a very similar suit, maybe even to a better -- even to a greater extent, we'll see better opportunities. Land owners that are looking to sell are still going through their price discovery, no different than the MLS side. But one thing that's different on the land side is, land is a commodity used by -- primarily by people that are building homes. And we are seeing the national homebuilders significantly reduced their land acquisition as they are slowing down and seeing their sales orders slow down. So, we've already seen some price reductions. We have been opportunistic in being able to get some very attractive deals so far. The volume of what we have done over the last couple of months is a little bit less than what we saw at the beginning of the year, but no different than the MLS and what we are seeing is more opportunities coming our way. One thing I would add to you on this is, we have a number of relationships with land banking firms. And then that's really good to have a lot of options within your land banking. But the more important piece, maybe what we will see is the opportunities coming from them. They control a lot of land, and we are getting a lot of inbound calls from them about our interest in various parcels that are in very, very attractive locations that are coming back to them from other parties. And so we're going to see some really good land opportunities going forward. I think it's going to follow the same suit of MLS, and it's, again, a story of needing to be patient and disciplined as you go through this time period. 
Operator: Thank you. Our next question comes from the line of Brian Spahn with Evercore ISI. Please proceed with your question.
Brian Spahn: Hey thank you. I was wondering if you could talk about affordability and in particular, the impact that in-migration has had on your tenant's affordability screenings. Presumably, the average income is up quite a bit, but are you seeing a wider range of incomes? Or are there any concerning signs you're seeing just from an affordability standpoint, maybe for the previously in-place renters? 
Bryan Smith: Hey, thank you, Brian. This is Bryan. The affordability piece, it's very interesting. If you take a look at our business, I think the affordability gap between renting and owning is that its greatest at least that I've seen, it's about 17% cheaper or less expensive to rent right now in our markets than it is to buy. That being said, migration patterns, and we're tracking those very carefully, as you know, paying very close attention to our applicants incomes. The best metric that I can give you for this year is through the first six months, our applicant incomes have risen about 9% year-over-year. And the rents that they're applying for have risen a little bit less than 8%. So not only are we maintaining that really strong income to rent ratio, it's actually improved a little bit. And I think part of that is due to the migration patterns, the strong out-migration from California and the Northeast. The other part of it is due to just really high demand for our product and an appreciation of the value proposition. 
Brian Spahn: Got it. Thanks Bryan. And I guess just as it relates to bad debt in the quarter, it ticked down nicely, but maybe could you just touch on expectations for that in the back half of the year. And any -- what impact, if any, you expect from the reduction of the rental assistance payments? 
Chris Lau: Yes. Sure. Good morning Brian, Chris here. Look, taking a step back, generally speaking, I would say, consistent with our expectations that we talked about last quarter and at the start of the year, collection trends overall are holding nice and strong. In fact, we actually saw a couple of markets that received a few catch-up payments this quarter resulting in second quarter same-home bad debt that landed at that 90 basis points. In reference to rental assistance as expected as compared to, call it, the second half of 2021, we've continued to see a reduction in rental assistance payments. But that's really been paralleled by just a broader improving collections landscape. So, as we head into the back half of this year, I'm not sure we'll see some of those catch-up payments we saw like this quarter, but we definitely expect collections to remain strong and likely expect bad debt to run in the, call it, 1% to maybe low 1% area, which is what is contemplated in guidance.
Operator: Thank you. Our next question comes from the line of Joshua Dennerlein with Bank of America. Please proceed with your question.
Joshua Dennerlein: Yes, hey guys. Appreciate some of the comments on the land bank and how you're starting to see some opportunities there. I think last time we spoke, you mentioned that there were potentially more partnerships on that side. Just what's the latest on those conversations?
David Singelyn: We're in discussions with between five and six in parties that are very, very interested and have done deals with a few of them, not all six. But those discussions, as I said, there's opportunities. They each have a little bit different criteria. But all of them are in discussions with us now on some of their land opportunities. So, it's going to be a good partnership both ways. We're going to be able to get some high-quality land that's going to help them out. And that's going to help us out indirectly in having better terms and better relationships with our land banking parties. 
Joshua Dennerlein: Got it. And then one quick one. What percent of your resident signed leases longer than one year, thinking like to your leases in particular? 
Bryan Smith: Hi Josh, it's Bryan. The lease term on initial lease is almost all in all cases, one year. The extended lease term, which I think it runs at about 10% of our portfolio. Our two-year lease renewal offers to establish residents who have really been asking for it. So, I would think about it more in terms of a renewal extension rather than an initial lease term. 
Operator: Thank you. Our next question comes from the line of Haendel St. Juste with Mizuho Securities. Please proceed with your question.
Haendel St. Juste: Hey guys. Good morning to you. I was hoping you could speak to the yield on the development products breaking ground today and what the rent growth in construction cost embedded within those assumptions are? Thanks.
David Singelyn: Yes. So, instead of talking about exactly what the yields are today, I will tell you that our yield expectations are -- continue to move as we evaluate our cost of capital on a monthly basis. So there's a relationship there. But the second part of your question, I think, is very important. That's where the cost of construction is going. Today, we have seen the early components of the construction life cycle. The foundation work, the concrete that goes into foundations, the framing the lumber, all of those costs are coming down. The cost from drywall on are still pretty steady. But the reason for that is the homebuilders are still completing homes that they had started prior to March. And so the earlier trade that we indicated, they are through that part of the life cycle, and we are seeing the favorability of lower demand on those vendors resulting in favorable pricing. To-date, we are seeing about 5% favorable pricing in those components with maybe the exception of lumber, which is much more significant. As you may recall, we were in the mid thousands of dollars of per 1,000 board feet, $1,500, $1,600 for 1,000 board feet. We are back now down to about $500 per 1,000 board feet. The other costs are down about 5%. And I would expect they may fall a little bit more. Put all of this into context, a 5% reduction in the vertical construction cost results in a 20 basis point improvement in our yields, and that is over and above any improvement in yields that you would get from rising rental rates. So, we are seeing some very, very favorable economics right now in our development program. 
Haendel St. Juste: Okay. I understand what you're -- the context you're providing, I was hoping to get a bit more quantification of that. The other question I wanted to ask was on expenses. Bryan, you expected some relief in the back half of the year. Maybe can you talk to some of the bigger pieces of what you've seen in this quarter, where do you expect to see the release? And then more broadly, real estate taxes. Are we in early innings, mid-innings, when do we get to peak headwinds on the real estate taxes? Thanks.
Bryan Smith: Thanks Haendel. I'll start, and I think Chris can finish with a commentary on the tax side. We -- expenses are largely playing out as we expected this year. The first half, we expect them to be maybe more front-weighted, at least in terms of the increases due to the comp set and our work through some of the COVID-related households. But it's playing out as we expected. There's inflationary component in there, specifically with the property management line item. You can see the timing effect through the first six months, it's about 6.6% over comparable period last year, and that's right in line with our expectations. 
Chris Lau: And then Haendel, Chris here, just to hop in on property taxes. I can start with just a general update on where we're at for this year. Today, we're about halfway through the assessment calendar. We've received assessed values on a little over 50% of the portfolio at this point. And so far, we've seen a couple of offsetting puts and takes. A couple of data points, for example, Georgia came in a little bit higher than what our original expectations were but then that was largely offset by some slightly better-than-expected news in a couple of other states. So, with that said, we still have about 50% of our assessments left to go for this year. And then as to probably recall, we don't receive news on updated tax rates until towards the end of the year. But at this point, we're really not seeing anything that materially changes our full year view of 5% property tax growth. And then to your question around kind of the crystal ball of where we are from a broader property tax cycle, it's really too early to speculate, but I think our view in general is that there are certain parts of the portfolio in the country, where we're likely to see some slowdown in home price appreciation that will eventually trickle its way through property taxes as well. Exactly the timing and the lag effect of that is hard to predict. But our expectation is that, that will be on the horizon. 
Operator: Thank you. Our next question comes from the line of Alan Peterson with Green Street. Please proceed with your question.
Alan Peterson: Morning everyone. Thanks for taking the question. David, I just wanted to touch on the emerging growth opportunities and particularly the portfolio inbound calls that you've had. Can you share a range of cap rate expectations for where you think those portfolios would trade and how those cap rates have trended over the last year? 
David Singelyn: Yes, in many situations, the inbound telecom calls today still have expectations of pricing that you would have seen in March. And so people are realizing in my mind that the market is changing and they are seeing if they can still get a deal done based on the old pricing. So they're still on the assemble portfolios in many cases, still some time necessary to get those repriced into the more -- the current pricing arena with the current interest rates, et cetera. So that is -- the good part of that is that people are starting to call. So there is some desire to sell. But the pricing that we are seeing today is still March pricing and that needs to be adjusted. So, I would say that the bid ask is still too wide to really talk about that the expectations of our market. So the numbers are not that relevant until we actually start having transactions trade, and we haven't seen that yet. I'm sorry, Alan, what was the second part of your question? 
Alan Peterson: Just where cap rates have trended, but your commentary on March was fair enough. I appreciate that.
David Singelyn: Yes. Okay. 
Alan Peterson: Second question for me. Chris or Bryan, CapEx is starting to trend towards 20% year-to-date. Just wondering if you could provide some additional commentary on what's driving those -- that CapEx increase this year that we're seeing for your portfolio? 
Bryan Smith: Thanks Alan. This is Bryan. You're seeing a couple of different impacts on the increase that we saw in the quarter. First, there is the impact of those COVID-related move-outs. Those turns are more costly, especially on the CapEx side as we work through that cohort. And then there's general inflation too with that line item. So, it is slightly elevated. But again, we're hoping to get some relief as we work through that -- I'm sorry, the COVID move-outs.
Chris Lau: And then, Alan, it's Chris here. I would just also add. Part of what you're seeing, too, has a little bit to do with how the timing of our 2021 comps fell if you go back and look at last year by quarter. And there's a little bit of a different picture first half versus second half of 2021, really with kind of the defining line being our collection practices beginning to return back to normal. And so as we head into the back half of 2022 and we're comping against the second half of 2021 comps, our expectation is that, that CapEx growth rate will moderate a touch into the back half of this year. 
Operator: Thank you. Our next question comes from the line of Adam Kramer with Morgan Stanley. Please proceed with your question.
Adam Kramer: Hey guys. Good morning out there and thanks for taking the questions. Just wanted to ask about kind of expectations built into the guide for lease growth, second half of the year and then kind of where we might kind of finish 2022 and into 2023? Whether it's new or blend, I think it would be helpful just to kind of understand how you guys are thinking about lease growth over the next little while? 
Chris Lau: Chris here-- 
David Singelyn: Go ahead, Chris. 
Chris Lau: Yes, I can frame it a touch and then Bryan can share some more details, it's helpful. As we mentioned in our prepared remarks, we're actually beginning to see a touch less seasonality in the back half -- or coming into the back half of this year than was originally contemplated in our prior guidance. And so with that, that's giving us the opportunity to lean in a little bit more into rate growth as we're coming into the back half of the year. So, just to kind of help you with the components. Generally speaking, I would say on a full year basis, renewals we see being in the high 7s or so that kind of implies about 8% area in the back half of the year. New leases we see in the double-digit area on a full year basis. So that's low double-digits to high singles in the back half of the year. But overall blending to a blended spread on a full year basis in the mid-8s. And that's up about, call it, 0.25 point from our prior expectation, which was in the low-8s. And then you can see that pull through into the revenue guide and then couple that with, again, our unchanged expense outlook on a full year basis, and that translates into the revised 10% NOI growth outlook on a full year basis. 
Adam Kramer: That's really helpful guys. Thanks. And just I guess along similar lines, are you able to kind of remind us what were your loss to lease is currently? 
Bryan Smith: Yes, Adam, this is Bryan. Our loss to lease still is in the low double-digits that we talked about last quarter. We're seeing some really nice kind of sequential improvement on the renewal side, which we find very encouraging and see the results in July were quite positive, but I would think of it in the low double-digits. 
Operator: Thank you. Our next question comes from the line of John Kim with BMO Capital Markets. Please proceed with your question.
John Kim: Thank you. Can you elaborate on what you mean when you seeing less seasonality in July than you expected? Is that on a turnaround basis or demand? And why do you think that's occurring? 
Bryan Smith: Thank you, John. This is Bryan. There are a couple of components to seasonality, at least when we talk about it. One, there's just the distribution of the move-outs. So we have more move-outs during the peak kind of summer season, which adds a little bit to the vacancy pressure because it does take time to turn and re-lease those properties. That's been relatively consistent and as expected. The other piece of seasonality has to do with the demand backdrop. And traditionally, we've seen a little bit of a slower drop off as you get towards the back half of summer. We're not seeing that right now. The demand has remained extremely strong. We look at a bunch of different demand indicators and they're all pointing towards continued strength. I talked about it in my preferred -- in my prepared remarks, about 285,000 inbound leasing inquiries last quarter, it's a fantastic volume on that side. Website users are up 28% year-over-year. Web sessions were up 30%. Our API leads from the aggregators into our system and through our website are way up as well. And that's coupled with the migration patterns, which continue to hold. So we're seeing outstanding demand, which is really causing the results of the seasonality to be muted. 
John Kim: That's great color. Thank you. And following up on the recurring CapEx, which has been increasing. Is there a way to quantify the difference between CapEx on your developed versus purchase homes? 
Bryan Smith: Yes, I think if you -- we're in the early stages of getting the CapEx and expense results on the newly developed homes. But keep in mind, those are new homes. So the CapEx burden in the initial years is very, very light. And what we're seeing on the limited number of turns that we process is that it's right in line with our expectations. Those are brand new homes built to be durable, and that's how it's playing out and the limited experience we've had. 
Operator: Thank you. Our next question comes from the line of Neil Malkin with Capital One Securities. Please proceed with your question.
Neil Malkin: Hi, thank you for taking my questions. I look forward to continuing our relationship and glad to be here. First one, I was hoping you could give maybe, Bryan, a bigger picture of how you go about training and maintaining best practices with regional managers because those are the renter or people facing parts of the business in such a crucial part in maintaining high brand standard and things along those lines, particularly in -- when you have those sort of sister markets that are approximate to markets where you have larger exposures. If you could just share how you guys go about doing that? Obviously, in the era we live in now, yelp, other things are important. So, I'd love to get your thoughts on that. 
Bryan Smith: Sure. Thank you, Neil. Yes. The center of our business is the high-quality resident experience. And one of the key components to that is the way that we communicate with our residents and the levels kind of personal customer service that we provide. That's what our training is based on. We have very specific training modules, incentive programs, and we're seeking out the type of people who can provide excellent customer service. Our technology system is allowing us to manage this at scale. You talked about the sister markets despite the fact that we might not have a property manager, for example, living in that city, they're still a signed kind of on a hub-and-spoke system. So, there's a very personalized care whether you're close to an office or not. But our training focus is on the way that we communicate the frequency setting expectations. We talk about it from the very initial contact on the leasing side, all the way through the move-in and in any of the customer contact points. And we're monitoring that as a company by having a pretty extensive internal survey system that surveys the residents at each of these contact points. And we follow closely on feedback. We're also paying very close attention to the Google scores, which is a pretty good indicator of how we're administering that program. And we're taking all of that feedback and reincorporating it into our training programs. So, it's a pretty robust loop with good feedback, very clear objectives for our team members. And I think we're doing a really good job of administering a high level of customer service. 
David Singelyn: Neil, it's Dave. Let me just add a couple of things. One is training is not a one-time thing. And in the way we are organized is below the regional managers, we have districts. So, we have many, many districts. And we -- each district has a monthly training module that is sent to the district. They go through it, and it's all about whole plane. It's all about, as Bryan indicated, improving and making sure that we maintain high-quality resident experiences. And then the feedback loop is very important with all the surveys. We are in the process of trying to develop for ourselves, say, Net Promoter Score, very similar to what you would see in other industries that this industry is new, but we are working on Net Promoter Scores for us as well as our peers. 
Neil Malkin: I really appreciate all that insight. Thank you. The other one for me is just on development. You talked a lot about that today, particularly with some potential upside, it sounds like you could or are seeing with land bank providers and just parcels that have fallen through. Can you talk about what your -- what you expect your sort of -- or what level of deliveries do you see kind of by 2024? I think before you talked about trying to reach a 5-year or something like that to complete that -- the 20,000 or so parcels, including escrow. And just I think it would be helpful for modeling and just accretion to understand how you see that program ramping again over the next 12 to 24 months?
David Singelyn: Yes. Neil, on the long-term, you're absolutely right. It continues to ramp up, and it continues to ramp up each and every year over the prior year based on the land availability of what we really acquired three to five years prior. The last three years, as we have come out of our test phase of the building program, we've focused significantly on land acquisitions. Today, we own or control more than 20,000 lots, it's closer to 22,000 lots. That's going to be the fuel for future years. We're in 50 markets today that we are building. The infrastructure is in place that we can do 4,000 and 5,000 homes with little additions other than some construction superintendents. And the land is coming through the pipeline as expected on its horizontal and infrastructure improvements. And while 2023 will still be a year that we will be ramping up as we get into 2024 as you indicate, we're going to start seeing numbers that are more akin to where our purchasing levels are. And so 4,000 and 5,000 homes should be the expectations in those outer years. 
Operator: Thank you. Our next question comes from the line of Linda Tsai with Jefferies. Please proceed with your question.
Linda Tsai: Hi. Maybe just following up on that last question. I'm not sure if the answer was buried in there. Can you remind us the time it takes after you have new lots added to the time it takes to be delivered. So, to the extent that you're purchasing more lots from land banking firms now when those get delivered? 
David Singelyn: Yes, Linda, it's -- that answer is conditional on a couple of things, and I'll give you the general rule. But generally, if you're buying raw land, you need to improve that land, put the infrastructure, the roads, the sewers, all the utilities in. And the process of going through the planning department and getting your permits and all of your inspections that can take a couple of years, two to three years depending on which marketplace you're in. If you're fortunate enough to be able to buy a property that's already been horizontally developed, you get to skip that phase. When you get to the phase of building homes, you can build homes anywhere from 120 days to 150 days on the typical average. We will build a community out over an extended period of time.  So we may have the land ready to go, and we will build at a pace of six to 12 homes per month. And it's really determined and guided by property management more than it is by the development team. We deliver homes at a cadence that we feel we can absorb without having any impact to rental rates or occupancy going forward. So we do it at a pretty consistent cadence. If you have a community of 120 homes and you're doing a month, that's going to take you a year to deliver all of them. And that's not because you can't build faster, you can't get permits, you can't get supplies. It's due to being disciplined in how you are delivering those homes for operational reasons. So, it's a four to five-year process before you start delivering homes and the size of the community, it may stretch it out a couple more years to get them all delivered. 
Linda Tsai: …for that detailed response. And then just on the regulatory environment, are you seeing any notable changes in any specific markets? 
David Singelyn: No, I would say the regulatory market is kind of where it was -- last quarter when we talked, it really hasn't changed. It hasn't improved. It hasn't gotten worse. There's still a lot of inquiry, a lot of attention being paid to single-family rentals. It's -- when we got into this business 10 years ago, we knew the regulatory piece was going to be a significant piece of this industry. It's an industry that we are providing necessity to every American. And so it's going to be in a high-visibility area. For us, we -- it's noise around the edges. We are not in the middle of any significant investigations. And it's something that we deal with from time-to-time. 
Operator: Thank you. Our next question comes from the line of Dennis McGill with Zelman & Associates. Please proceed with your question.
Dennis McGill: Hi, thank you all. Dave, I just want to go back to a couple of comments you made earlier and time together. On one hand, you've got what you believe to be a three million or four million, five million unit shortfall in housing. Rent growth still very strong. Your cost of capital is probably lower than all of your peers or most of your peers. But yet you're pulling back on acquisitions because you think there's going to be an opportunity and you draw parallel to last cycle, and that, to me, implies that you think home prices are going to go down a lot. So, I'm trying to understand how those two things can potentially co-exist?
David Singelyn: Dennis, I think the two comments that I have out there actually are consistent with one another. We did not talk about the fact that we are slowing down our development program or acquisition program in the long-term. In fact, I have expectations and hopes that it will improve and get larger. What we're talking about is price discovery and price discovery and resetting of prices on an upward market are immediate. And you have a bidding more and you get to a place where you know where the new market is. On the downside, I mean rates are going up and prices are coming down. It takes time. And that is the period of time or a period that we are in. We are seeing inventories expand. We are seeing the length of time that homes are on the market. We are seeing national homebuilders inventories increase. And it's -- we've been seeing this over the last two to three months. It's only been in the last two to three weeks, we have actually seen any price declines. We have seen price declines, as I think I previously indicated in the MLS markets, mainly on the West Coast is where those price declines are occurring, in Seattle, Denver and Portland, and Austin. It's 2% to 5%, 2% to 10%. We're just starting to see the price declines in the national homebuilder offering. So, again, it's driven more by the West Coast, but not entirely. And we're seeing some of those declines in the 10% to 15% in markets like Seattle and Denver. And so the statement of slowing down acquisitions is not a statement that we don't believe in acquisitions we do. It is a statement that we need to be patient and allow the market to reset and those opportunities will be available to us as we move forward. It's all about the fact that capital cost for us as well as for the individual homeowner has changed, and that's got to get reflected in the marketplace. And it's getting there, but it's not there yet. 
Dennis McGill: Yes. And I think I would agree with all of that, Dave, actually, and I think you're right and that values are probably going down and trends are likely to get worse before they get better. I think where I'm struggling is if there were three million or four million or five million households waiting for product on the sidelines that price discovery wouldn't have to happen. 
David Singelyn: Well, you can have people on the sidelines, but they also have to be able to afford the offering. And when you think about interest rates rising and you go with a home mortgage and you go from 3% to 5.5%, it's a significant increase in the payment, reducing affordability. And this is not about demand. I mean, I'll give you a comment on demand in a second. But it's all about the pricing of the homes based on affordability to me. I -- you mentioned 10 years ago the concept of recession, at least a housing recession back. And that's when we built this company when we had tremendous opportunities. There is dislocation in the housing market. I think you're going to see dislocation in this housing market as well, giving us tremendous opportunity. It will be driven by different factors. But when I look at demand, I guess it's demand on two sides. Demand for rentals. Demand for rentals has always been strong. Over 40 years, I do not know of a year in those 40 years where there has been a decline in rental rates on a national basis, and occupancy has always been strong in the 1990s. We came through a pandemic very, very strong. Affordability, as Bryan indicated today, is tilted towards the single-family rentals. And if you look at our platform, and you look at American Homes, it's a diversified platform. It mirrors much better to a national average, but it's also better than the national average because we are in the markets where the migration trends, where the population is growing, where the employment is growing, it's where America wants to live. And we're going to see very, very strong demand. And that is -- that's the long-term view of this opportunity. All we are talking about right now is a very short period of time to allow the market to recalibrate. And as it recalibrates, all the demand functions that you talk about, Dennis, are going to play in and it's going to facilitate a very, very strong growth for this industry, for American Homes 4 Rent in the long-term. But it's -- we're in a just a reset period of time, a very short temporary thing, and it's got nothing to do with the long-term future. The long-term future is fantastic in this industry. 
Operator: Thank you. Our next question comes from the line of Sam Choe with Credit Suisse. Please proceed with your question.
Sam Choe: Hi guys. I just wanted to go back to the renewal spreads. I mean, you guys disclosed in May -- I mean with the June update that May quarter-to-date renewals were 7.5% and then up at 7.4%, which kind of suggests there was some sort of deceleration in June before it going back up to 8.1%. Just trying to understand your comment about seasonality, the changes on how you think about that and kind of readjusting your expectations of renewal spreads to the high 7s? 
Bryan Smith: Sam, this is Bryan. I wish we could be as nimble as you're suggesting with renewals. But keep in mind that those renewals are priced way in advance in excess of three months out. I think what you're seeing on the adjustment in Q2, that's probably just a market mix. It's a very slight adjustment. I'd point your attention more towards our results for July and the continued trend, like I mentioned earlier, I think six consecutive quarters prior to Q2, which was relatively flat to Q1 of improvement on the renewal side and then acceleration into July. I think the seasonality piece plays in more so to the re-leasing spreads. But we're really excited about the momentum we have on renewals and expect to continue that through the end of the year. 
Sam Choe: Got it. Got it. Okay, that's helpful color. And then I guess, have you guys noticed any changes in the characteristics of the tenants moving out of the properties? Or has it stayed pretty much the same? 
Bryan Smith: Yes, Sam, I think it's pretty consistent to what we talked about last quarter. We track there are reasons for move-out. As we've talked about in the past, the biggest reason for move-out is to buy a home. We've seen a slight decrease there, but we would expect that to continue to decline as the affordability gap changes. So, we're just starting to see the effects of that. But I would expect that to -- the percentage of moving out to buy a home to decrease throughout the back half of the year. 
Operator: Thank you. Our next question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Please proceed with your question.
Austin Wurschmidt: Great. Thank you. Just want to go back to sort of prioritizing capital commitments. And just thinking about the extent capital markets remain volatile, I guess I'm curious how or if that could impact the pace of the development deliveries ramping or if you're kind of pacing that ramp with your ability to self-fund development? 
David Singelyn: Yes, this is Dave, Austin. Yes, we self-fund our development from day one. And one of the things that you may recall is earlier this year, we raised just short of $1.8 billion between equity and debt offerings. Much of that is still available on an equity forward. In addition, we have liquidity provisions through $1.25 billion line of credit. So, we have the ability to manage through short-term liquidity times. Our development program today is we -- I have no expectations that deliveries are going to be anything different than what we talked about at the beginning of the year. And that's approximately 2,200 homes, 2,250 homes between our balance sheet and those that are designated to go into joint ventures that we had set up a couple of years ago. But we do have the ability to do it in -- finish out what we have in our pipeline. One of the other pieces here, is Chris did go through a couple of facts. We've seen an improvement in our credit rating, the debt markets are tough. I don't -- today, I don't disagree with that. But we have the capacity to do that. We have the capacity to do equity and do it accretively today. But we also have good relationships as evidenced by the fact we have a couple of joint ventures. And those always remain a possibility of an option if we decide to go that route as well. So, we have many avenues in which we can fund future growth. The success of future growth is being able to do it accretively and for the benefit of all the investors involved in, and I see that being available to us for many, many years to come. 
Austin Wurschmidt: That's really helpful. And then you guys have talked in the past about the opportunity to scale up the business. It certainly seems to be a focal point with some of the excess dry powder and focused on acquisitions. But I'm curious what drove the above average increase in property management expense this quarter, both year-over-year and as a percentage of total revenue?
Bryan Smith: Yes, Austin. I think it's more of a timing issue. If you look at the year-to-date increase in property management expenses, they're about 6.6%, although second quarter was 15.2%. There's a little bit of a timing aspect there, a little bit of wage inflation to get to the 6.6%. And then the good news is our property management teams are fully staffed for the peak busy season this year. We're in a really good position to continue to execute towards the back half of the year. 
David Singelyn: Austin, it's Dave. Let me just add one thing that might help you there. If you look at 2021, this is a story about 2021 more than 2022. The timing of our expense is a little skewed to the back half of the year. Recall last year, we recognized the fact that salary inflation and salary adjustments, we're moving in the middle of the year. We made a decision to increase salaries in August of last year. Those are now rolling through and being comped against the first and second quarter of 2021 where they were not in place. But we will have much better comps going forward in Q3 and Q4 as a result. 
Operator: Thank you. Our next question comes from the line of Chandni Luthra with Goldman Sachs. Please proceed with your question.
Chandni Luthra: Hi, thank you for taking my question. So, looking out to the next 12 to 24 months, how should we think about margins as you begin to deliver homes on land that was purchased, say, a year ago versus land that was acquired three to five years ago, and therefore, perhaps the cost consideration that is higher plus when you couple that with the fact that there's potentially some moderation in rents in a tougher economic setup. So, how should we think about margins going ahead? 
David Singelyn: Yes. Chandni, it's Dave. You're 100% right. The margins on our development are much more favorable than the margins of similar properties in the same markets. We build our homes with the thought or the design to reduce our maintenance cost. We have higher quality plumbing textures in these homes. We build them with durable flooring, durable patios and all of that is going to facilitate two things. One is lower repairs and maintenance, and the second is quicker turn times, both beneficial to operations. So, as we see more and more of these homes end up in our same-home portfolio, as they've seasoned, they take a year to season. We need to have a year of operations in the comp period before they can move into same-home. So today, we have very few in the same-home. We are delivering right now 2,000 homes or so per year against our portfolio of 60 for 1,000 homes. It's still a small percentage, but that will, as time moves on, have a benefit to our margins. 
Chandni Luthra: Got it. And if I could ask my second question about the land banking JV opportunities that you talk about. As you're evaluating these partners, is there anything different in terms of the geography or perhaps micro locations or the price point that you'd be willing to target with these newer partners down the line? Thank you.
David Singelyn: Yes, the land banking is more a means to derisk land on your balance sheet. At the end of the day, these homes are going to come into our inventory and be operating assets on American Homes balance sheet. So, we underwrite these opportunities no different than we underwrite homes that are presently on our balance sheet. This is a -- basically a technique or a means to fund the land acquisitions and derisk the company in doing so. And that's what land banking is. It's more that than it is that we are going to go into different markets. We're going to do the different markets, and I'm not saying we have -- we're doing this, but it would be a straight up joint venture with a partner. Land banking is not that.
Operator: Thank you. Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi, good morning. Just a question on, I guess, longer term rent growth. It sounds like you're going to exit the year with renewal growth in the 7% to 8% range, which is great, curious about next year. You're not seeing kind of the step down that in growth that some of the multifamily companies you're seeing. So, is it reasonable to expect to see that kind of renewal growth to persist in the next year? Or should we moderate our expectations given kind of the overall macroeconomic environment?
Bryan Smith: Hey Anthony, this is Bryan. That's a great question. I can speak to the current demand environment and our expectations going forward. And as I talked about before, the demand backdrop is fantastic. I don't see any supply relief. I don't see any new supply coming into the market that's really going to eat into that. So, I anticipate having pricing power through the balance of this year. And my expectations operationally are to be able to enter next year in a position of strength, strong occupancy, good momentum to take advantage of the spring leasing season when it arrives. So everything's really lined up nicely to have continued growth. 
Anthony Powell: Great. That’s it for me. Thank you.
Bryan Smith: Thanks Anthony.
Operator: Thank you. Our next question comes from the line of Jade Rahmani with KBW. Please proceed with your question.
Jade Rahmani: Thank you very much. In the last couple of weeks, with the mortgage rate having dipped below 5%, have you seen any change in the market in terms of cadence of closings, in terms of pricing home prices? 
David Singelyn: No. Jade, no, we haven't. The inventories are still extended on MLS. The time on market remains extended from what we saw in March. We're starting to see some of these statistics getting back to more normalized levels, but in the frenzy that we had in March. But that's in part due to the fact that while there may be a little bit more affordability today than there was two weeks ago. Affordability is nowhere where it was in March of this year, even towards the latter part of last year, even with a little pullback. So, we still have a fair amount of price discovery and time to get the markets to stabilize. But they're volatile. There's no doubt about it. And you see them go up and you do see them come down, but we're still significantly higher than we were in March. 
Jade Rahmani: And a follow-on to Dennis' question about the outlook. In terms of the clearing event or price discovery, are you just waiting for prices to stabilize? Or is it that you are waiting -- you're solving for a cap rate that's higher than you've underwritten in the past or targeted in the past?
David Singelyn: I would say it's a little bit of both, quite honestly. With our cost of capital a little higher for us to have the same accretive benefits in our growth program that we enjoyed last year, we're going to need to see the prices at a slightly -- or the yields at a slightly higher level. And you can get there either through rent growth or through price declines. It's going to be a combination of the two. So, for us to be doing the right thing for you and our shareholders, it is prudent to be disciplined and to be patient and wait for those numbers to come into line. And the fact that it takes time is just part of the process. It doesn't mean that the opportunities won't be there. They will be there. And they will be there in the good markets that we operate in. 
Operator: Thank you. Our next question comes from the line of Haendel St. Juste with Mizuho Securities. Please proceed with your question.
Haendel St. Juste: Hey guys. Just a couple of quick follow-ups. Bryan, I was hoping we could first get your perspective on, if you expect your low double-digit loss to lease to increase, decrease or stay the same over the remainder of the year? And then I'm not sure if I missed it earlier, but did you provide an estimate of your 2023 earn-in? 
Bryan Smith: I'm sorry, Haendel, I didn't hear the 2023 what--? 
Haendel St. Juste: Earn-in. 
Bryan Smith: Yes. Okay. So, lost lease as we talked about earlier, still estimated to be in the low double-digits. I would expect through the remainder of the year to have it remain the same if we don't -- if not, if we don't need and do it a little bit. So, it might come down just to hair towards the back half of the year because of our really strengthen our renewal rates. If you want to talk about the earn-in, what's in place right now into next year, I'd probably think about it in the 4% to 5% range as we get into 2023. 
Operator: Thank you. This concludes today's Q&A session. I would like to turn the floor back to Mr. Singelyn for any final comments. 
David Singelyn: Thank you, operator, and thank you to all of you for your time today. As you heard, I'm excited and optimistic about our future and with the single-family rental demand tailwinds, combined with our growth programs, it's going to put us in a great position for long-term strong future results. With that, we will talk to you again next quarter, and have a good day. Bye, bye. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.